Operator: Ladies and gentlemen, thank you for standing by, and welcome to AdTheorent's Fourth Quarter and Full Year 2023 Earnings Call. [Operator Instructions] Please be advised that this conference is being recorded. I would now like to turn the conference over to your first speaker, David DeStefano, Investor Relations. David, please go ahead.
David DeStefano: Good afternoon, and welcome to AdTheorent's fourth quarter and full year 2023 earnings call. We will be discussing the results announced in our press release issued after the market closed today. With me today are AdTheorent's Chief Executive Officer, Jim Lawson; and Chief Financial Officer, Patrick Elliott. Before we begin today, I'd like to remind you that today's conference call will include forward-looking statements based on the company's current expectations. These forward-looking statements are subject to a number of significant risks and uncertainties, and our actual results may differ materially. For a discussion of factors that could affect our future financial results and business, please refer to the disclosure in today's earnings release and our other reports and filings with the Securities and Exchange Commission. All of today's statements are made based upon information available to us today, and we assume no obligation to update any such statements except as required by law. We will also refer to both GAAP and non-GAAP financial measures during the call. You can find the reconciliation of our GAAP to non-GAAP measures included in our press release posted to the Investor Relations section of our website at www.adtheorent.com. All of our non-revenue financial measures we discuss today are non-GAAP unless we state otherwise. With that, let me turn the call over to Jim.
Jim Lawson: Thank you, David, and good afternoon, everyone. Thank you for joining our fourth quarter 2023 earnings call. During today's call, I will discuss our high level results for the fourth quarter and the full year 2023, provide a progress update on our key areas of investment. And finish up with a discussion about our exciting product innovation plans, including how we expect AdTheorent's machine learning platform to benefit from Google's cookie deprecation and other regulatory pressures and market dynamics which disfavor ID focused ad targeting.  I'm pleased to report that in the fourth quarter, we generated revenue, adjusted gross profit and adjusted EBITDA above the high end of our outlook ranges. Our differentiated machine learning approach to scoring ad impressions, which delivers consistent best-in-class return on ad spend for our customers, continues to generate heightened interest and engagement leading to greater spend on our platform.  In the fourth quarter we generated $59.7 million in revenue a 15% year-over-year growth rate. This accelerated growth combined with prudent cost management, drove significant operating leverage, yielding $13.6 million of adjusted EBITDA, a 34% margin and 35% growth year-over-year. Once again, we outperformed in our high priority growth sectors including self-service, AdTheorent Health, which saw revenue growth of 89% in Q4, and our predictive audience products, all of which continue to see robust customer adoption.  Over the past year, we have meaningfully accelerated our growth trajectory by layering these incremental innovations on top of our highly differentiated ML powered DSP. As a reminder, we have been productizing and operationalizing advanced machine learning. A branch of artificial intelligence since early 2012. Now with a macro picture, that appears to be in the beginning stages of stabilization, and a greater technological lead, an algorithm based programmatic ad targeting, we look to the future confident in our ability to drive durable growth. I will now discuss each of these growth pillars in more detail.  First, on self-service. As I've stated in prior calls, developing and scaling our self-service platform is helping AdTheorent more fully monetize, the industry's most sophisticated ad decisioning engine. Momentum continued to build in Q4, with self-service revenue up 136% year-over-year, driven by record activity, impression served and platform spent. Overall revenue contribution remains relatively small. But our self-service delivery platform is already opening doors and attracting and retaining larger media buying customers. In particular, we're excited to note that several large media buyers adopted our self-service platform in the fourth quarter. In addition, two global holding companies completed platform evaluations and signed post evaluation platform agreements in the first quarter, and the third hold co. evaluation is in progress.  Adding the self-service delivery model enables us to generate the same outstanding campaign results regardless of how customers choose to transact on the platform, keeping customers on the platform longer. As our independent agency customer base grows, and their internal ad buying and campaign management capabilities evolve, we can seamlessly include self-service as a component. These customers still access our managed service and creative resources as needed, translating the higher overall spend on the AdTheorent platform. And with larger global holding companies, our self-service offering is an exciting driver of meaningful revenue growth, as those customers scale their use of the platform.  Second, I'd like to talk about our progress with AdTheorent Health. Despite being our largest industry offering, Q4 AdTheorent Health revenue grew 89% year-over-year, as a number of industries cross currents and AdTheorent innovations accelerated demand. Nowhere is the need for a powerful and privacy forward demand side partner more acute than in a highly regulated healthcare industry.  Many AdTheorent Health customers are subject to stringent privacy regulations, with tight restrictions on the use of personal data, driving them towards AdTheorent over ID dependent DSPs. Because our algorithms score and serve ad impressions, based on statistical insights and probabilities, and not individualized user data. We believe we represent the future of healthcare programmatic advertising.  On our Q3 call, we discussed strong early demand for trials and demos, using our health audience builder product or HABi. These and subsequent demos have converted into increased demand and incremental revenue. We are confident we'll continue to gain share within the large and growing healthcare advertising space as other general DSPs lack our domain expertise, privacy benefits, and advanced machine learning capabilities.  Moving to AdTheorent predictive audiences. We are thrilled with the market validation we have witnessed since the launch of these innovative solutions in late 2022. Advertisers continue to adopt our proprietary ID independent methodology for audience creation. Citing the superior results, we deliver without the need to license expensive third-party audiences and our ability to expand their reach beyond traditional ID-based segment populations, which are the focus of other platforms.  In Q4, we saw another record increase in TAC rates for predictive audiences, with 85 active campaigns running AdTheorent predictive audiences, a 29% sequential increase from the 66 active campaigns in Q3. Strong demand and customer uptake trends are driven by our ability to demonstrate repeatedly an uplift in campaign performance versus third party audiences, and our ability to perform in a transparent and privacy conscious manner.  To cite one example, in a campaign for a national wine brand, our custom predictive audiences sought to reach consumers age 21 plus, with a high likelihood of visiting wine and liquor stores, as well as a high likelihood of browsing wine and cooking websites and publications. The campaign drove an 18% sales lift, with 49% of buyers being new to the brand or category, and a five times return on ad spend for the brand, as measured by an independent third party. AdTheorent predictive audiences deliver better ROI for customers and drive greater adoption of our platform, which in turn drove greater profitability in Q4. We believe significant runway remains as we drive higher adoption across our advertiser base over time.  Finally, I would like to discuss our enthusiasm around CTV and the foundation for growth that we have established in this important market opportunity. Our differentiated performance oriented CTV offering continues to resonate with advertisers driving higher demand. As previewed with third quarter earnings in Q4 we introduced the normalized network and channel taxonomy for targeting, reporting and modeling.  This is important because there is no standardization in CTV content data across publishers. In other words, the data received by DSPs from publishers is fragmented and messy. By leveraging our proprietary approach to analyzing and normalizing this content data. The vast majority of our live television impressions have a targetable and reportable network and channel. This has created a scalable solution for CTV buyers, seeking a more precise way of ensuring that ads are adjacent to the desired content.  Network and channel data is also leveraged in our machine learning modeling, adding valuable signals for our custom models to maximize performance. Our ability to utilize advanced machine learning and impression scoring capabilities on CTV to deliver a transparent and granular solution is industry leading and advertisers are leaning in. CTV momentum remains strong within self-service, with advertiser count of 87% compared to the third quarter of 2023, driving 12% sequential growth of CTV advertisers.  As the demand composition shifts towards self-service, however, revenue is recognized more heavily on a net basis. While this is pressuring near term CTV revenue, which was down 12.5% year-over-year. We believe overall CTV growth will re accelerate as we continue to enhance our CTV solutions and as advertisers continue to ramp up spend, Moving to outlook. In 2024, we plan to build on our notable progress in 2023. Despite a mixed environment and pressure on ad budgets, we return to meaningful growth in the second half of the year. We also remained very profitable, despite high levels of investment behind initiatives that will drive growth in 2024 and beyond. The broader economy remains mixed, but we are engaged and active with larger customers. And we are encouraged by what we're seeing relative to 2024 budgets and customer planning.  Also, as we have discussed in the past, a major industry development, Cookie deprecation will reinforce that there is value proposition in 2024. I'd like to update investors on recent events and how AdTheorent is position to benefit from these crosscurrents.  At the beginning of January, Google officially began eliminating cookies from the Chrome browser. As of last month, cookies are now restricted for 1% of Chrome users, and the remaining 99% will be eliminated by the end of the third quarter. This isn't new news, but the reality of cookie deprecation and other concerns around privacy are going to force advertisers to reevaluate their approach to targeting consumers.  As noted in a January Wall Street Journal article, many advertisers still aren't ready for this change, showing that industry media buying behaviors have yet to shift, despite the imminent deadline to do so. For AdTheorent, this is a huge opportunity. We have a clearer view of the post cookie future, including how our machine learning systems will leverage Google's API's and aggregate data exchanges as part of the post cookie privacy framework. And we've been active with our customers preparing for the opportunity.  As we have discussed AdTheorent is immune to cookie deprecation because unlike other DSPs, we are data agnostic, and in our 12-year history, we've never relied on cookies for targeting. We've always used machine learning, algorithms and statistical models which draw inferences from patterns and data to score ad impressions. We are not in the ID targeting business. Other demand side platforms have historically used cookie based IDs and are now scrambling to backfill with other even less effective and scale challenged alternate user IDs. As cookies are phased out over the next few quarters, AdTheorent's competitive moat and superior value proposition will naturally expand versus other solutions in the market.  Before I conclude, I want to highlight a few meaningful innovations that we plan to bring to market over the next four quarters. First, as I mentioned, we are excited by the opportunity to lead digital advertisers into the post cookie world. And our tech product and data science teams are hard at work configuring our machine learning systems to leverage Google API's and aggregate data exchanges as part of the post cookie privacy framework.  Second, in parallel with our introduction into market of a custom health version of our platform, we are excited to be incorporating generative AI and large language models into HABi, our health audience builder to facilitate user health audience research and creation. Using this advanced AI functionality, non-experts can explore complex health and patient data to develop audience algorithms for ad campaigns.  Third, as we work to enhance our video and CTV offering, we are excited to be incorporating video transcription data into our performance modeling, extracting keywords from video creative transcripts, introducing such additional contextual signals will make our CTV and video campaigns more data driven.  Fourth, we expect significant business upside from our enhanced UI UX rollout across our health and non-health lines of business. So our teams remain highly focused there. And finally, before turning the call over to Patrick, I'm pleased to note that we received more industry recognition for our work elevating the state of programmatic advertising across the open Internet. Frost and Sullivan, a 63-year old business consulting and market research firm named AdTheorent a leader in the Frost radar for demand side platforms. The Frost radar evaluated the top 13 DSPs, and AdTheorent was ranked number three in innovation, trailing just two much larger competitors.  I would like to conclude my remarks by acknowledging the AdTheorent team, whose expertise, dedication and resilience enabled us to finish 2023 and open 2024 on a high note, with great optimism for what is to come.  Now I'll turn the call over to Patrick.
Patrick Elliott: Thanks, Jim. Good afternoon. And thank you all for joining us today. As Jim mentioned, we're thrilled to report a robust Q4 performance, exceeding the high end of our revenue AGP margin and adjusted EBITDA margin outlook. We are confident in AdTheorent's potential to sustain its growth momentum, which began in the second half of 2023.  We are proud to announce record breaking quarterly and full year revenue. We ended the year with a very strong Q4, with revenue reaching $59.7 million, surpassing our guidance range of $55 million to $57 million and marking a 15.2% year-over-year growth. As we discussed on our previous call, we pointed to an inflection point for our business starting with record pipeline generation in Q2, which converted to revenue growth in Q3 of this year, and the pipeline generation and revenue growth momentum we saw in Q3 accelerated into Q4. The demand across our key growth pillars contributed significantly to this achievement.  Notably, our self-service platform saw a remarkable 136% revenue growth year-over-year and AdTheorent Health our largest verticalized solution experience and 89% year-over-year increase. In the fourth quarter our adjusted gross profit defined as GAAP revenue less traffic acquisition costs was $39.9 million representing 66.9% of revenue above our margin guidance of at least 64% of revenue. This compares to 65.2% of revenue in the same period of the prior year. This increase in AGP percentage was primarily driven by the increased adoption of our algorithmic predictive audience solutions, particularly within AdTheorent Health.  Non-GAAP operating expenses, excluding stock-based compensation, depreciation and amortization and one-time items totaled $46 million, from $41.7 million last year, mainly due to increased TAC related to higher revenue.  Adjusted EBITDA for the quarter was $13.6 million, up $3.5 million or 34.8%, compared to Q4 2022. Exceeding the high end of our outlook range of $10 million to $11.5 million. Our adjusted EBITDA margin was 34.2% for the quarter, up from 30% last year, reflecting strong cost discipline, and AGP performance and higher revenue. The company's continued strong profitability demonstrates both our operating leverage and agility and missed an ever changing market landscape.  For the full year, we’ve reported $170.8 million in revenue, a 2.8% growth rate versus 2022, achieving our growth outlook set at the beginning of the year. Despite spin consolidation trends in the industry, our average revenue per active customer increased by 11.8% indicating successful engagements with larger brand and agency customers. We continue to execute on our strategic growth initiatives to increase the value our platform delivers to our customers and to take advantage of an expanding addressable market driven by shifts from traditional forms of advertising, to programmatic advertising on the open Internet, and from linear to connected TV.  Our ID independent AdTheorent Health and predictive audience products, and our self-service offering continued to be core drivers of the acceleration in our business, recording record highs. Additionally, platform spin for CTV also reached all-time highs.  Full year adjusted gross profit totaled $111.2 million or 65.1% of revenue, exceeding the high end of our AGP margin outlook. As expected, our AGP margins were consistent with historical results. Operating expenses, excluding stock-based compensation, depreciation and amortization and one-time items increased $4.8 million or 3.4% from the previous year primarily due to higher tack, posting expenses and platform data costs.  During the year, we also realize approximately $2 million in savings across G&A, primarily across professional services and insurance costs and manage total compensation expense for the entire company to be flat versus the prior year. As a result, adjusted EBITDA for the year was $22.2 million, a 19.9% margin against adjusted gross profit. Exceeded expectations and 400 basis points lower than full year 2022. We were able to drive top line growth while investing in the business to better position us for growth.  Moving to our balance sheet and cash flow. We close out the year with $70.3 million in cash and cash equivalents. Our free cash flow for the year was negative $2.5 million, mainly due to the early termination of a large vendor contract we resolved in December for $6.3 million. The timing of collections on fourth quarter revenue, and overpayment of cash taxes. We anticipate reversing the timing of collections and cash taxes trends in the first half of 2024. We continue to have a strong capital structure with no debt and ample liquidity.  Looking ahead to 2024, we expect and are already pacing towards accelerated annual growth. For the full year 2024, we expect revenue to be in the range of $188 million to $195 million, which represents 12% growth at the midpoint versus 2023. We anticipate adjusted gross profit to be between 64% and 65% of revenue compared to 65.1% in 2023 and adjusted EBITDA margin to be between 20% and 25% of adjusted gross profit, compared to 19.9% in 2023. Revenue growth and margin expansion will both accelerate as we progress through the year.  As we pivot through this period of re accelerating growth and EBITDA margin expansion, we've decided to shift toward an annual guidance model. This will align our reporting framework with our investment strategy and allow us to make strategic investments without the constraints of quarterly timelines. Our investments are clearly working. And this shift will help ensure we're always placing our resources where they'll generate the most value for our stakeholders.  In summary, we are pleased with our financial performance in 2023 and the growth momentum we are already driving in 2024. We're excited about the opportunities ahead in 2024 and beyond. Thank you.  This time, we would like to transition to the Q&A session moderated by the operator.
Operator: [Operator Instructions] We'll take our first question from Maria Ripps at Canaccord Genuity.
Maria Ripps : Great, thanks so much for taking my questions and congrats on the strong results. So you talked about extending partnerships with two global holding companies with another one in progress. Can you just talk about how meaningful this could be for your platform going forward? And whether you see sort of a tendency among these holding companies to increase their span with their advertising partners over time?
Jim Lawson: Maria, thank you for the question. Yes, we as communicated in in prior calls, really been focusing on trying to generate business deals with large media buyers where we can have sustained revenue growth over a long period of time. We're quite excited to be at the table and signing not only evaluation agreements, but post evaluation agreement, advertising service agreements with some of the largest media buyers in the world. So we're very excited to be there. It's been a long process in building our platform and getting it to the point where we are able to deliver these types of contracts. So we're really excited to scale those opportunities post contract. Because yes, we believe huge opportunities exist in these customers.
Maria Ripps: Great, thank you. And then secondly, I think last quarter, you talked about several CTV partnerships that have extended your AVOD inventory on the platform. Can you maybe talk about whether that's driving incremental advertising demand? And then maybe more broadly, how do you see sort of CTV spent growing on the platform sort of adjusting for this mix shift that you're going through, relative to the broader industry trends?
Jim Lawson: Thank you, Maria. We have been very focused on making sure that our CTV offering is differentiated and best-in-class. We're early innings in the scaling of our CTV relative to the opportunity. What we've seen is, in the early years of AdTheorent, we were mostly a managed services platform. As we deliver more customers into the self-service business, we find that many of them are CTV HABi, CTV is a more expensive medium and you see more self-service executions across CTV, so we see more net revenue recognition for our CTV customers.  At the end of the day, we believe that we are so early in this opportunity that we don't really care about that. At the end of the day, our objective is to get media flowing through the platform. Our focus, primarily to-date has been on the product, making sure we have the best publisher integration, the best data driven methods of targeting and the best reporting capabilities and products. We are at that point now where we think a go-to market -- reenergizing our go-to market, making a number of investments in that area, making some strategic partnerships in that area could be quite valuable and getting our scale back to CTV. We didn't grow our CTV revenue in 2023, but we grew our advertisers by 30%. And we believe that the growth and revenue will follow.
Maria Ripps: All right. Thank you so much for the call, Jim. 
Jim Lawson: Thank you, Maria. 
Operator: We'll move next to Laura Martin at Needham. 
Laura Martin : Hi, I have three also. So let's do self-service first. What I'm interested in your self-service was up 136%, but it's still a small percent of total revenue. My question is, what do these self-service customers require on the cost side from you guys to service them, compared to when you were doing managed service?
Jim Lawson: Thank you, Laura. Appreciate the question. I think at the end of the day, the self-service customer is looking for a platform that gives them access to the best-in-class inventory, and an ability to efficiently drive the best results that they can get more media working for their investment, and better return on ad spend. Our platform has been designed to be an extremely efficient platform, we filter out a lot of noise, we filter out a lot of inventory that is not value added to the customer, we put more media to work than other DSPs.  And I think that at the end of the day that is what most self-service customers are looking for. They're looking for a platform or engine that allows them to execute media campaigns that deliver results. And I think our algorithmic approach to both KPI performance, where we can generate outstanding KPI results when we go head to head with other customers -- sorry, other DSPs. And frankly, that's the number one way we win business is going head to head with other DSPs and outperforming.  So I think performance is key as far as cost. We have the best price optimizers out of any DSP in our view, where we can find high value impressions and therefore drive conversions at a cost lower than other DSPs.
Laura Martin: Okay, cool. And then I was with a second question for you, Jim is roadmap. So about a year ago you're your AdTheorent Health has really done exactly what you projected on the timeframe you projected. A year ago you would going to go next to financial services and insurance were again are very gripped privacy rules and that sort of made sense to investors. But then last quarter, you were talking about travel. So can you give us an update this quarter of where you go next after healthcare, what's on the roadmap?
Jim Lawson: Thank you, Laura, great question. We continue to believe that the financial services vertical, banking, financial services and insurance is a big opportunity for our business. In the market environment that we have been in, over the last couple of years with interest rates, one of our larger clients was engaged in auto finance and there were there were challenges in the automotive vertical. There were a number of headwinds facing the customer base that we had in the financial services vertical, we remain optimistic about that vertical because of our ability to drive to campaigns in a privacy forward manner.  For example, in compliance with the Equal Credit Opportunity Act, the Fair Housing Act, we don't use prohibited basis variables in our models. A number of other really important and valuable things for financial services, marketers, and especially in the area of credit extension products. So we are very, very bullish about financial services. But you also have to be mindful of the macro and the end the industry and the conditions that you're in.  So, travel was exciting for us. And we actually had a very strong, we have a strong kind of start to the year. In travel, we have our predictive audiences, our CTV, our creative, services that we offer. And a number of the studies and measurement programs that we offer customers, such as destination sales, lift, a number of the new data investments and partnerships that we've made, give us a very customized travel vertical. It's not just the product, it's also the go-to market. We have a leader in our organization who's driving great results.  Across travel, we're bringing in another a number of new members to our travel team, we're making a number of incentive changes and a number of go-to market enhancements to our travel vertical. So we feel very optimistic that in 2023 -- I'm sorry, 2024, travel will be one of the success stories that we'll talk about in in the year wrap up call.
Laura Martin: Super helpful. Okay, Patrick, one for you. What the heck is going on with accounts receivable? So I have free cash flow, meaning cash from ops down $13 million and accounts receivable up $15 million? Is it just this pivot to large clients, they're slow payers, because this is a lot of sort of TAC on AdTheorent to add $15 million year-over-year and accounts receivable, what's going on there?
Patrick Elliott: Yes, thanks. Thanks, Laura. Yes, your -- part of your answer as is already true, that we are pivoting to larger customers and that is part of the dynamic here. Another part of the dynamic though, is in Q4, a lot of the revenue did come in and get built in December. And so the timing of such AR balances just work, so we're not collected before the end of the year. So that is really driving the two things driving that increase.
Laura Martin: And that was different than last year somehow. So we didn't see that seasonality in the last year, fourth quarter?
Patrick Elliott: The dynamic of in 2022, we had less fourth quarter incrementals come in, whereas in '23, that really did help drive our Q4 performance. And also, due to the timing, and like I said in December, it just -- it drove that dynamic for increased AR at the end of the year.
Laura Martin: Okay, cool. But you think this is structural, because as we move towards bigger clients, they pay slower. So this is going to be the growth of your revenue line, you believe will be a higher tax in '24 to your working capital line through the accounts receivable. This is a structural trends you think?
Patrick Elliott: Yes, I mean, I think that there is truth to that. I mean, I point out that our working capital did improve, you know, $7 million year-over-year, at the end of the year. And so, you know, that will translate into cash flow and improve cash flow in 2024. It just happened to be the timing of such at the end of the year, and we'll manage our way through that and get this working capital converted into cash this year.
Laura Martin: Okay, thanks very much. Thanks, guys, great numbers. Congratulations. 
Patrick Elliott: Yes. Thank you, Laura.
Operator: We'll move next to Matt Condon at Citizens JMP.
Matthew Condon: Great, thank you for taking my question. Maybe just on cookie deprecation. Can you just talk about is there been a change in your conversations that you are having with advertisers if they gear up for the deprecation of cookies in the back half of the year?
Jim Lawson: Yes, thank you for the question. One of our favorite topics. Absolutely 100%, this is a topic on everybody's mind. We highlighted in our prepared remarks that, despite the fact that the deprecation of cookies is here, a number of advertisers are behind in their planning. We've done our own research and we've talked to advertisers in the market, about their interests and their preparations for the post cookie world and the types of ML solutions, impression scoring using statistics and not an ID focused approach is actually the number one response we get when we talk to customers about what the post cookie world looks like. We couldn't be more excited about that opportunity.  We have been doing this since 2012. This is not a new reaction or pivot or backfill endeavor for AdTheorent, this is AdTheorent. We have been working on impression scoring, and believe that it's preferable to user profiling, and ID retargeting, and we're super excited to be able to engage with customers who maybe have a greater sense of urgency around this topic than they have in prior months and quarters. So yes, we're quite excited about it. These conversations continue. And we believe that in 2024, that enthusiasm will show up in the results.
Matthew Condon: That's great. And then Jim, you also mentioned just the early stages of just the stabilization in the macro, can you just talk about just the linearity of demand during the quarter, and maybe what you're seeing so far, 1Q is giving you that confidence? Thank you.
Jim Lawson: Sure, we feel good, we feel like the macro has stabilized to a large degree in the beginning of the year, a number of our larger customers got off to a slower start in terms of budget, completion and finalization and communication of campaign starts. So we had a little bit of a slow start in January from some of our accounts, but as the quarter has progressed the momentum has increased.  So we feel good about where we're headed. But I would say that, you know, the beginning of the year, I think there was a little bit of a budget, a delay in budgeting and finalizing a budgets from a number of customers. I don't think that was unique to AdTheorent, from our understanding that was consistent with a number of a number of companies in our business, or an industry rather.
Patrick Elliott: I could just add to that, that you asked about our linearity, I think our booked revenue, and our pipeline levels are, are both higher at this point in the year than they were last year at this time, which support our fiscal year guidance range that we've provided in the remarks.
Matthew Condon: That's very helpful. Thank you.
Operator: We'll take our next question from Dan Kurnos at the Benchmark Company.
Daniel Kurnos: Great, thanks. Good afternoon. That is a very solid way to end the year, guys. Jim, maybe just talk about the timing of the UI UX rollout. I know it was just one of the initiatives that you mentioned. But I will tell you that we've been seeing what's called it simplification for not to insult the agencies of some of these platforms and interfaces. And I'm just kind of curious if you're doing any integration work on the back end, or if there anything if there's anything else that's kind of driving your optimism around that adding to growth, as we've heard from others doing similar processes this year.
Jim Lawson: Thank you, Dan. That's an outstanding question. And it very much lines up with our focus on making our platform easier. From the perspective of a non-expert user, there are a lot of experts out there in the industry, but there's also a number of media buying users that would benefit from a more streamlined interface that makes more decisions for the user. That's not to say we're dumbing down our platform or removing functionality.  That's not what we're doing. But we are making some decisions, default decisions and more streamlined decisioning and some more just conformity, if you will to an industry standard that's evolved among DSPs for a number of things within the platform. I think the collective result, there will be easier adoption, shorter training times, a lower period between contract execution and first campaign launch. That's something that we focus on a lot. And we feel like a number of the changes that we're making are going to help in that regard.  We're also quite excited, as I mentioned in our prepared remarks about some of the generative AI, advancements and contributions that we're making to our number of features of our platforms, such as the help audience builder where you don't need to be, for example, an expert in all the different specific health diagnoses or treatment names, by their exact names, you can speak in a more plain English manner.  And our large language models and generative AI that we're incorporating into HABi will assist users in creating the audiences. And again, these are algorithmic audiences, these are not ID-based audiences, they are not look alike audiences. These are algorithmic audiences based on statistics from aggregated data. So we think that makes algorithmic targeting and algorithmic audience creation more attainable and usable for non-expert traders.
Daniel Kurnos: Got it. That's really helpful, Jim. Thanks for that color. And then just from a bigger picture perspective, obviously, you guys have top line momentum. I guess, Jim, as a follow on to what I just asked, like, what's your willingness to reinvest this year, not just in improving the platform, but whether it's initiatives like new product builds, or and then we haven't talked about going after International, what sounds like it's recovering. Just what's kind of your willingness to reinvest in the platform this year? And you have like, kind of medium to longer term sustainable growth targets in mind at this point.
Jim Lawson: Yes. Thank you, Dan. We are -- we've been in a constant state of investment on this platform for years. I mean, we could invest, frankly, a lot more, we think that our product and tech roadmap, it could be -- it's five years long, right now, we could accelerate many things. Obviously, we're trying to balance short term and near term performance with long term differentiation and superiority in our marketplace. And we want to make sure that we can extend our advantage on machine learning based impression scoring, and not forfeit any of that advantage and lead that we have.  But you're hitting on kind of the challenge as a small public company that we would love to make investments today for a number of initiatives. So we have to make choices. And we've made a number of choices to be focused, while at the same time delivering fantastic outcomes and financial results for our shareholders.
Patrick Elliott: Yes, Dan, this is Patrick. I'll just add that, from an investment perspective, we don't see our CapEx or capitalized software expenditures increasing materially from 2023, we expect that to be relatively consistent, but it will depend on top line performance and how much momentum, further momentum we're seeing and how that will enable us to invest more. So, what I'm saying is that our investment decisions are in light of our performance and we will monitor that as we go through the year.
Daniel Kurnos: Got it. If I could sneak a real quick third one, just TAC was really efficient in Q4. And you guys have guided to, let's call it AGP, I guess of sort of 64.5%, which would be a step up from the Q4 level. I know there's mix, but if you could give us any kind of incremental granularity around why Q4 AGP was so strong, and just why some of those benefits aren't necessarily flowing through to the year that would be helpful.
Jim Lawson: Yes, Dan. In Q4, our good AGP margin performance was driven by the adoption of our AdTheorent predictive audiences solution, which replace third-party costs with an internal solution which increases the amount of margin dollars flowing through. Sometimes that's harder for us to predict in real time. And so we saw a fair amount of that coming through in Q4, which was upside to our guidance. But we do think that a 64% to 65% level, which is kind of historically consistent with the last two years of our -- of what we realize is prudent to budget for, as we think through the future.
Daniel Kurnos: Got it. All right, super helpful. Thanks, guys. I appreciate it. 
Jim Lawson: Thank you, Dan.
Operator: We'll go next to Michael Kupinski at Noble Capital Markets.
Michael Kupinski: Thank you. Thanks for taking the questions. Good afternoon, and congratulations. I was wondering, can you give us an update on the strategic partnership you have with Hero Media? If you could just kind of give us an update on how Hero One is performing against your expectations?
Jim Lawson: Thank you for the question, Michael. We love our partnership with Hero, we view this as a horizontal opportunity to provide unique capabilities to our customers who are seeking to reach multicultural audiences across the spectrum. We think that our AdTheorent predictive audience products enable a lot of customization in that area. Hero has been fantastic in market getting us opportunities with some very exciting brands and agencies. So that is progressing along quite nicely. And we will provide -- we expect the Hero multicultural, horizontal, again not a vertical, but a horizontal.  We expect that to tap into budgets intended for multicultural budgets within a number of different verticals across our business. And we think that that's going to drive a portion of our growth in 2024. So we're excited to see that show up in the results. But it's early. So they actually drove a number of exciting deals in the fourth quarter, which we're excited about. They contributed to that positive end of the year. And I'm very confident that as the year progresses, the Hero partnership is going to be a big part of our success.
Michael Kupinski: Got you. And then I'm always looking for what could go wrong. So, I know that you've been configuring your systems for the post cookie world. But is there a chance that Google implement some technology that renders some of that work problematic for you, maybe for them, for you to use with their systems or those of aggregate data exchanges?
Jim Lawson: Yes, well, I mean, we've been actively working with Google, and with the Google Privacy sandbox and post cookie framework, we're in the weeds there. Our tech teams are doing testing with the API's. We are iterating with Google and we have a clear line of sight into what that's going to look like. And from where we said, it's a positive story, it's the story of replacing a cookie, which is an inherently individualized piece of information. With more aggregated data, that, again, that's more important for us anyway.  So when we optimize buying media, when we optimized buying media impressions, what we do is we look for high indexing attributes that are present. And when those high indexing attributes are present, that are driving conversions, we try to find other impressions that look like that. So we're not looking for IDs. So the deprecation of the cookie doesn't impact our modeling, our ability to get information back from Google, so that we know when we drive a conversion that we can have aggregated data about all the conversions we're driving. That's what we need.  And we're pleased to see that that's what we're getting from that post cookie framework. So no, I mean, it's early, it's still early. Only 1% of Chrome cookies have been deprecated. There's a lot of work to be done. But I think we have the right team to do that work. And I think we have an advantage in a head start, frankly,
Michael Kupinski: Yes, thanks for the color there. Last question, given your healthy balance sheet, any M&A that you might be looking for to enhance your growth. Can you just give us your thoughts there?
Jim Lawson: We're always looking for great opportunities. We've been heads down on -- we've never acquired technology, we've never acquired anything. I mean, we've built everything homegrown we're relatively small business, 300 employees. We definitely can see a role for targeted M&A and other strategic type combinations as being a part of our future, there are a lot of good arguments for that. On a day to day basis, we're focusing on executing against our product and tech roadmap, and driving our financial outcomes that position our company for strength and give us opportunities. But absolutely, I think the types of opportunities you're mentioning are exciting and something we're definitely looking at closely. 
Michael Kupinski: Great. Thank you. That's all I have. Congratulations again.
Jim Lawson: Thank you, Michael. We appreciate it.
Operator: And there are no further questions at this time. I would like to turn the conference over to Jim Lawson for closing remarks.
Jim Lawson: Thank you, everybody, for being here today. We had a great finish to 2023, we've reached an inflection point in our business. In '23 growth accelerated growing from 9% in the third quarter to 15% in the fourth quarter. We hit our targets that we set at the beginning of the year. Growth came from our strategic investments which are paying off self-service and predictive audience solutions health. Our customers are spending more on average of 12% in 2023. This growth is translating into great profit with 34% EBITDA margins in Q4. In closing, I would be remiss to not thank the AdTheorent team, for continuing to execute at such a high level. Our momentum is continuing into 2024 and we look forward to speaking with investors again very soon.
Operator: And this concludes today's conference call. Thank you for your participation. You may now disconnect.